Operator: Welcome to the 111, Inc. Fourth Quarter and Fiscal Year 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. After management's prepared remarks. As a reminder, today's conference call is being recorded. I would now like to turn the meeting over to your host for today's call, Miss Monica Mu, the Investor Relations Director.
Monica Mu: Thank you, operator. Hello, everyone, and thank you for joining us today for 111's fourth quarter and fiscal year 2018 earnings conference call. The Company's results were released earlier today and are available on the Company's IR website at ir.111.com.cn, as well as on GlobeNewsWire's services. On the call today from 111 are Dr. Gang Yu, Co-Founder and Executive Chairman; Mr. Junling Liu, Co-Founder, Chairman and CEO; Mr. Luke Chen, Chief Financial Officer; Mr. Harvey Wang, Co-COO; Mr. Barry Zhu, Co-COO; and Mr. Alex Liu, Finance Director. Mr. Liu will discuss the Company's business operations, highlights, financials and guidance. They will be available to answer your questions during the Q&A session that follows. I remind you that this call may contain forward-looking statements made under the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These statements constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended, and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements can be identified by terminology such as will, expects, anticipates, future, intends, plans, believes, estimates, target, confident and similar statements. Among other things, the Business Outlook and quotations from management in this announcement, as well as 111's strategic and operational plans, contain forward-looking statements. 111 may also make written or oral forward-looking statements in its periodic reports to the U.S. Securities and Exchange Commission, in its annual report to shareholders, in press releases and other written materials and in oral statements made by its officers, directors or employees to third parties. Such statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the Company's control. Forward-looking statements involve inherent risks, uncertainties and other factors that could cause actual results to differ materially from those contained in any such statements. Potential risks and uncertainties include, but are not limited to, uncertainties as to the Company's ability to comply with extensive and evolving regulatory requirements, its ability to compete effectively in the evolving PRC general health and wellness market, its ability to manage the growth of its business and expansion plans, its ability to achieve or maintain profitability in the future, its ability to control the risks associated with its pharmaceutical retail and wholesale businesses, and the Company's ability to meet the standards necessary to maintain listing of its ADSs on the Nasdaq Global Market, including its ability to cure any non-compliance with Nasdaq's continued listing criteria. Further information regarding these and other risks, uncertainties or factors is included in the Company's filings with the U.S. Securities and Exchange Commission. All information provided in this press release is as of the date of this press release, and 111 does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under applicable law. It is now my pleasure to introduce Mr. Junling Liu. Mr. Liu, please go ahead.
Junling Liu: Thank you, everyone, for joining us today for our Fourth Quarter and Fiscal Year 2018 Earnings Call. First, let me introduce our new CFO, Yang Chen or Luke Chen who is on the call with us tonight. He comes to us after serving as Chief Financial Officer of iKang Healthcare Group Inc. for 6 years. Previously he was Vice President of Finance and Strategy at Campbell Soup Asia and at Lee Kum Kee Sauce Group. He also held various senior finance positions at Dumex, PepsiCo and Wyeth China subsidiaries and started his career as an auditor at Arthur Andersen & Co. I'm very excited to have Luke on board and feel confident that his extensive leadership experience in financial management, strategy, and capital markets makes him a great addition to the team. Luke, if you want to say a few words to everyone on the call tonight?
Luke Chen: Hello, everyone. This is Luke. I'm very excited to join the Company, and looking forward to meeting you all in person very soon. Thanks, Junling.
Junling Liu: All right, then tonight, I will deliver all our prepared remarks, including the financial review of the quarter, given Luke just came onboard. And now let me start with the business review section first. We delivered a very strong quarter. Fueled by growth in our B2B segment, top line was up 102% year-over-year, reaching RMB557 million, substantially higher than the high end of our guidance. On full year basis, net revenue has reached RMB1,786 million, up 86.1%, which means that revenue growth accelerated in the second half of the year. We continued to focus on our mission of building China's largest integrated online and offline healthcare platform powered by technology. We have developed a fast growing virtual pharmacy network in China and we are determined to further build scale rapidly. As of December 31, 2018 we served more than 150,000 pharmacies, up 15.4% sequentially. And we expect to continue to dominate the virtual pharmacy network by adding 80,000 pharmacies in 2019. This would bring us to 200,000 pharmacies, which represents more than 50% of our addressable market. We have made further progress in building our sourcing network of pharmaceutical manufacturers. As of December 31, 2018, we were directly sourcing from 93 manufacturers, up from 80 at the end of September. In our B2C segment, we have restructured our organization to be more customer-centric in order to better meet the specific needs of different customer segments. As we search for new and innovative ways to acquire customers, we are leveraging big data to better understand our customers and their behavior, execute direct marketing and promotions, and provide professional customized services. We are focusing on building strategic partnership with pharmaceutical companies, insurance companies and local municipal health commissions, to launch various healthcare solutions for individual consumers and patients. For instance, our strategic cooperation with Eli Lilly, a global healthcare leader, aims to roll out a "fourth sales channel" solution for pharmaceutical companies by focusing on big data, e-prescriptions, doctor services, and patient education. In addition, our partnership with international pharmaceutical giant, Menarini, will leverage our integrated platform to help Menarini expand its retail presence in China. We established another strategic partnership with Manulife-Sinochem, the first foreign-invested joint venture life insurance Company in China. Together, both companies will establish a health management ecosystem integrating insurance with PBM, that's the pharmacy benefits management, and clinical services. We have signed strategic framework agreement with the Kunshan Health Commission of Kunshan City, Jiangsu Province in China, to co-develop an online healthcare and pharmaceutical operations service platform. With online hospitals as a stepping stone, the Operations Service Platform represents an opportunity for both parties to jointly build an internet healthcare, pharmaceutical, healthcare insurance closed loop ecosystem and to explore new online healthcare opportunities in China. While more work needs to be done, the bottom line of the B2C business is improving. We also made significant progress in improving operational efficiency which I believe demonstrates the effectiveness of our strategy and strong executional capabilities. One good example, our fulfillment costs for the year as a percentage of net revenue has declined to 4.1% as compared to 5.8%. Now, on to our financial results for Q4. All numbers quoted are in RMB and all percentage changes refer to year-over-year, unless otherwise noted. Net revenues increased 102.1% to 557.4 million. Product revenues from B2B segment were up 424.7% to 330.2 million from 62.9 million. Product revenues from B2C segment increased 6.1% to 222.7 million from 209.9 million. Operating costs and expenses increased 101.7% to 689.6 million. Cost of products sold increased 110.7% to 534.3 million, primarily due to increase in sales and a change in revenue mix with a much higher proportion of B2B business. However, all operating expenses other than cost of products were lower in the quarter as a percentage of net revenue than in the same quarter in 2017. Fulfillment expenses increased 51% to 22 million, primarily as a result of growth in B2B business. Fulfillment expenses as a percentage of net revenue was 4%, down from 5.3% Sales and marketing expenses increased 67.5% to 78.2 million, mainly due to increase in the number of sales staff and expenses associated with the expansion of B2B business. Sales and marketing expenses as a percentage of net revenue was 14% down from 16.9%. General and administrative expenses increased 102.2% to 34.1 million, mainly attributable to IPO consulting fees, increases in managerial staff, and share-based compensation expenses. Excluding the share-based compensation expenses, G&A expenses accounted for 4.8% of net revenue down from 5.5%. Technology expenses increased 74.8% to 20.4 million, primarily due to investments in platform and product development, including the recruitment of technology-related staff. Technology expenses accounted for 3.7% of net revenue down from 4.2%. Loss from operations was 132.2 million, compared to 66.1 million while non-GAAP loss from operations was 115.9 million, compared to 63.1 million. Net loss attributable to shareholders of 111, Inc. was 125.9 million, compared to 64.4 million. Excluding the share-based compensation expenses, net loss attributable to shareholders of 111, Inc. was 109.6 million and accounted for 19.7% of net revenue down from 22.2%. I am now quickly running through a few key full year 2018 financial results. Further details can be found in the earnings release. All comparisons are to full year 2017. Net revenues were 1,786 million, up 86.1% from 959.5 million. Product revenues from B2B segment, increased 962.0% to 922.8 million from 86.9 million. Product revenues from B2C segment decreased by 1.7% to 847.5 million from 862.3 million. Operating costs and expenses were 2,186.3 million, up 80.2% from 1,213.5 million. Loss from operations was 400.4 million compared, to 254 million while non-GAAP loss from operations was 349 million, compared to 244.1 million. Net loss attributable to shareholders of 111, Inc. was 380.1 million, compared to 248.6 million. Excluding the share-based compensation expenses, net loss attributable to shareholders of 111, Inc. was 328.7 million and accounted for 19.5% of net revenue down from 25.4%. As of December 31, 2018, the Company had cash and cash equivalents and short-term investments of 1,106.5 million, compared to 461.2 million as of December 31, 2017, primarily due to the cash provided by the Company's IPO. Now, a word about guidance for the first quarter of 2019. We expect total net revenues to be between RMB600 million and RMB640 million, representing year-over-year growth of approximately 81.7% to 93.8%. The above outlook is based on current market conditions and reflects the Company's current and the preliminary estimates of market and operating conditions and customer demand, which are all subject to change. In conclusion, we remain fully focused on our mission of building the largest integrated online and offline healthcare platform in China powered by technology. We believe we are ideally positioned in the space to benefit from the significant growth opportunities brought about by the government-driven reform of the healthcare sector, in particular the recently announced "4+7 Centralized Urban Pharmaceutical Procurement" program promulgated by the newly formed State Medical Insurance Administration that is aimed at keeping pharmaceutical prices low in China's aging society. We believe that this program will increase the volumes of drugs in offline and online retail channels, strongly benefiting our business. By effectively executing our T2B2C business model, we will be at the forefront of revolutionizing the digital healthcare space in China while generating long-term value for our shareholders. To do so, we will further strengthen our core capabilities in smart supplier chain, medical expertise, big data and cloud solutions, to enable our various partners within our integrated online and offline healthcare ecosystem. We will continue to pursue scale in the foreseeable future by aggressively growing our customer base. The rationale behind our organizational re-alignment in Q4 is for the Company to focus on customer experience. We recently launched a campaign promoting our corporate culture which consists of four principles: Integrity, Customer, Execution and Innovation. This will be the soul of 111, Inc. and I strongly believe this will lay the foundation of long-term value creation for our customers and shareholders. We are confident we will continue our strong revenue growth and further reduce our operating cost and expenses in 2019 and in the years ahead. This concludes our prepared remarks. Thank you. Operator, we are now ready to begin the Q&A session, thanks.
Monica Mu: I think we're ready to do the Q&A session.
Operator: [Operator Instructions] We have a question from the line of Leon Chik, please ask your question.
Leon Chik: Yes. Junling, Liu and congratulations. Just you mentioned very fast growth in the number of new drug stores. Could you just comment on the strategy or what you've been doing in terms of lifting the ARPU, the average sales per drug store in recent months, just your general strategy today and then what's going on in 2019?
Junling Liu: Yes. So Leon, indeed. So the drivers of our B2B growth comes from mainly two metrics. One is the new customers we acquire, new stores that we add on to our list and also the per store sales. And in Q4, obviously, we have done a lot of work to motivate the team to make sure that not only we're growing by adding more stores, but we have also noticed a very, very pleasing ARPU uplift. So in Q4, if we compare to Q3, the ARPU actually went up 13.6%, which was very pleasing.
Operator: [Operator Instructions] We have another question from the Leon Chik. Please go ahead.
Leon Chik: So could I get an idea like when you sign up these drug stores, do you know how many other online providers they use or do you get the feeling that you're the only one or the leading one in terms of their online providers?
Junling Liu: Yes. So from our intel, we believe we're the major one from the online providers. Obviously, those pharmacies still have existing purchasing channels and so on, but the fact that the ARPU is growing on a per store basis indicated that we're taking more and more share. So we want that to continue in the foreseeable future.
Leon Chik: Right. Just a follow-on, just curious if you have any change or how many of your drugstores can you deliver, say, within 24 hours or 48 hours? Can you give us an update on that?
Junling Liu: Yes. Harvey, you have the exact numbers. So in terms of 24 and 48 hours, right. So I'll let Harvey to give you the indicative numbers.
Harvey Wang: Actually, currently, we have about for 24 hours, we have about 19 of cities we are able to deliver within 24 hours and we are expecting with the launch of new logistic centers which we plan in 2019, we are expecting this number to be increased in the coming one and two quarters.
Leon Chik: Okay. Great. I mean, and 48 hours, I mean is it pretty much everybody is 48 hours?
Junling Liu: Yes, I would say 70% of the GDP that would be covered, with the exception of pretty far corners of the country like Tibet or Xingang, et cetera.
Operator: [Operator Instructions] As there are no further questions, I would like to hand the call back to Monica for any closing remarks.
Monica Mu: In closing, on behalf of the entire 111 management team, we'd like to thank you for your interest and your participation in today's call. If you require any further information or have any interest in visiting us in China, please let us know. Thank you for joining us today. This concludes the call.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.